Operator: Good morning, and welcome to Mercer International's First Quarter 2024 Earnings Conference Call. On the call today is Juan Carlos Bueno, Mercer's President and Chief Executive Officer; and Richard Short, Mercer's Chief Financial Officer and Secretary.
 I will now hand the call over to Richard. 
Richard Short: Thanks, Liz. Good morning, everyone. Thanks for joining us today. I will begin by touching on the financial and operating highlights of the first quarter before turning the call to Juan Carlos to provide further color into the markets, our operations and our strategic initiatives. Also, for those of you that are joined today's call by telephone, there is presentation material that we have attached to the Investors section of our website. 
 But before turning to our results, I would like to remind you that we will make forward-looking statements in this morning's conference call. According to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, I'd like to call your attention to the risks related to these statements, which are more fully described in our press release and in the company's filings with the Securities and Exchange Commission.
 This quarter, our EBITDA was $64 million compared to Q4 EBITDA of $21 million. The improved results were driven by not having any major maintenance downtime, improving pulp sales realizations and lower fiber and other production costs. Our Pulp segment contributed quarterly EBITDA of $68 million, and our Solid Wood segment EBITDA was negative $1 million. You can find additional segment disclosures in our Form 10-Q, which can be found on our website and that of the SEC.
 In Q1, both our NBSK and NBHK sales realizations increased compared to Q4. Average list prices increased in Europe and North America due to stronger demand and global supply constraints. In China, prices were flat as demand slowed during the Chinese New Year and picked up near the end of the quarter. The European NBSK list price averaged $1,400 per tonne in the current quarter, an increase of $155 or 12% from Q4. And the North American NBSK list price averaged $1,440 per tonne in the current quarter, an increase of $128 or 10% from Q4.
 In China, the Q1 average NBHK net price was $662 per tonne, up $19 or about 3% compared to the Q4 average price, resulting in the market price gap between NBSK and NBHK in China narrowing to about $83 per tonne in Q1 from $105 per tonne in Q4. The North American NBHK average Q1 list price was $1,223 per tonne, up $140 or 13% from Q4. 
 Total pulp sales volumes in the first quarter increased by 75,000 tonnes to 566,000 tonnes, driven by the timing of sales and higher production due to lower scheduled maintenance downtime. We had no scheduled maintenance downtime in Q1 compared to 23 days of downtime in Q4, which positively impacted Q1 EBITDA by about $23 million when compared to Q4. After adjusting for the Q4 planned shuts, pulp production was essentially flat from the fourth quarter.
 For our Solid Wood segment, we had modest lumber pricing improvements in both Europe and the U.S. market. Despite the price increases, overall lumber demand remains subdued as a result of uncertain economic conditions in Europe and high interest rates. The Random Lengths U.S. benchmark for Western SPF #2 and Btr was $462 per thousand board feet at the end of Q1 compared to $422 at the end of Q4. Today, that benchmark price for Western SPF #2 and Btr is around $421 per thousand board feet, virtually unchanged from the beginning of 2024. For Q2, we are expecting generally flat lumber prices in the U.S. and European markets as demand remains weak.
 Lumber production was a near record 127 million board feet in Q1, up 14% due to seasonal downtime in the fourth quarter. Lumber sales volumes were $121 million board feet, up 8% from Q4. Electricity sales totaled 259 gigawatt hours in the quarter, which was about the same as Q4. Pricing in Q1 modestly decreased to about $94 per megawatt hour from $98 in Q4 due to lower spot prices in Germany. In Q1, our Pulp segment had lower fiber costs in Q4 as supply to remain stable. On the other hand, our Solid Wood segment had higher sawlog costs due to strong demand in Germany.
 Production for our Solid Wood segment's mass timber operations decreased in Q1 from Q4 due to minor customer-driven delays for certain large-scale projects. These projects are now underway, and we are satisfied with the order book today. In the first quarter, we made the strategic decision to dissolve the Cariboo mill joint venture, which resulted in the recording of a noncash loss of roughly $24 million or $0.35 a share. We expect the transaction to only have a nominal impact on 2024 EBITDA. Juan Carlos will have more to say on this in a moment. We reported a consolidated net loss of $17 million for the first quarter or $0.25 per share compared to a net loss of $87 million or $1.31 per share in Q4.
 We consumed about $40 million of cash in Q1 compared to $30 million in Q4. The large cash usage in Q1 was primarily due to higher receivables, which were up roughly $64 million, driven by higher sales realizations and sales volumes. We expect the majority of this working capital build to reverse in Q2. At the end of Q1, our liquidity position totaled $555 million compared -- comprised of $274 million of cash and about $281 million of undrawn revolvers. Finally, our Board has approved a quarterly dividend of $0.075 per share for shareholders of record on June 26, for which payment will be made on July 3, 2024.
 That ends my overview of the financial results. I'll now turn the call over to Juan Carlos. 
Juan Bueno: Thanks, Rich. Our Q1 operating results improved significantly relatively to Q4. The improvement was primarily the result of higher pulp prices in combination with no major maintenance at any of our mills. And our results in Q1 also benefited from lower costs, including fiber and energy costs. Overall, all of our mills ran at near record production levels, while both our energy production and sales volumes were at record levels in Q1.
 As previously announced, we came to the decision to dissolve the Cariboo mill joint venture after reviewing this asset and its future prospects against the strategic priorities and determine that dissolving the joint venture will allow us to focus our resources to areas more aligned with our long-term strategic goals. I will also add that we were not expecting Cariboo to have any meaningful impact on our 2024 earnings.
 In Q1, we invested roughly $18.5 million in our operations. This CapEx spending was in line with our 2024 CapEx target of between $75 million to $100 million. Those of you who follow the company closely will recognize that our 2024 CapEx target is well below our traditional spend. Our 2024 CapEx target is essentially a maintenance of business budget and is the result of a weak cash flow generation in 2023. I will speak about our markets in a moment, but we're optimistic about our cash flow generation in light of improved pulp pricing expectations for the remainder of the year. 
 Consequently, we are comfortable restarting our Torgau lumber expansion project and the Spokane sorting line project. Both of them will provide significant added value and were originally contemplated as part of our investment strategy for each mill. We have also approved a handful of other small value-adding projects. And as a result of these decisions, we now expect our CapEx to be between $95 million to $120 million in 2024.
 We will also continue to manage our working capital and costs closely. Despite our improved outlook for 2024, we believe the recovery for all our markets will be gradual. Overall, pulp markets have improved significantly in the quarter, with both the European and North American markets showing the most improvement in China lagging a little bit. We're seeing strong demand from European paper and tissue producers. And this demand is primarily the result of merchant destocking and logistical challenges around Chinese imports.
 To a lesser extent, we are seeing demand increases in North America as well. This strong demand is exacerbating the impact of the permanent closure of NBSK mills in the last 2 years, while the impact of the finished transport strike and the significant unplanned downtime of one of Finland's largest mills are also adding to the supply challenges. Looking forward, we expect upward pulp price pressure through the second quarter.
 In addition, pulp markets may face an even tighter supply situation should the Canadian railway unions take labor action as they are currently threatened to do. We're implementing mitigation strategies, but ultimately should this labor action be significant, it could negatively impact our ability to get our Canadian mills products to market. Our mills ran at near record levels in the quarter when comparing our first quarter production to Q4, remember that Celgar took a 22-day major maintenance shut in Q4 of last year, and Stendal took a 1-day maintenance shut. While in Q1, we didn't have any at all.
 Our remaining major maintenance downtime for 2024 is as follows: In Q2, Peace River already has taken their 16-day maintenance shuts in April. This shut was extended by 2 days due to [indiscernible] work. In addition, Stendal will take a long 17-day shut. Combined, this downtime equals to roughly a loss of about 61,000 tonnes of production. In Q3, Rosenthal, we have a 14-day maintenance shut, and Celgar will take a short 4-day mini shut, which will amount to about 20,000 tonnes production loss in total during Q3. As a reminder, Celgar has moved to an 18-month major maintenance schedule and will not have a major maintenance shut in 2024. 
 Our Solid Wood segment results, although improved compared to Q4, are still not where we expect it to be. The U.S. and European lumber markets were up slightly. However, high interest rates continue to weigh on housing starts and construction in general. We see the potential for lumber pricing improvements in Q2, but generally expect prices to stay flat with any improvement likely linked to improved economic data. We recognize there may be some short-term pricing upside due to recently announced lumber production retirements or the realization of a prolonged Canadian railway strike.
 That said, we continue to believe that low lumber inventories, the large number of sawmill curtailments, relatively low housing stock, wood shortages created by recent Canadian forest fires, and homeowner demographics are still very strong fundamentals for the construction industry, and this will put sustained positive pressure on the supply-demand balance of this business in the midterm.
 We continue to optimize our mix of lumber products and customers to current market conditions. As such, in Q1, 43% of our lumber sales volume was sold in the U.S. market with the remainder sold in European and other markets. Shipping pallet market remains weak due to an overall weak European economy. Once the European economy begins to show signs of recovery, we expect pallet prices to return to normal levels allowing our Torgau assets to deliver significant shareholder value. Heating pellet prices were down in Q1 due to expected seasonality in this market.
 In addition, the integration of the recently acquired mass timber assets continues to progress very well. We now have roughly 35% of North American mass timber production capacity, a broader range of product offerings and a much larger geographic footprint, which gives us competitive access to the entire North American market. We continue to see strong customer interest in our mass timber products, which has allowed us to build a significant order file. At the end of March, our order file totaled about $80 million.
 As I previously noticed, we are in the process of restarting strategic and high-return CapEx projects at both Torgau and Spokane Mills. The Torgau project is focused on the mills woodyard and log infeed systems. Once completed in the late 2025, this project will allow the mill to produce more high-quality dimensional lumber. This project was originally envisioned as part of our investment strategy for this mill, and we are looking forward to completing this work while lumber prices are in cyclical lows.
 Similarly, the Spokane project is focused on the mills wood infeed and sorting processes. Once this project is completed in mid-2025, the mill will be able to source lower cost feedstock and processes into high-quality land stock. Ultimately, this will significantly reduce the mill's fiber costs.
 In Q1, our overall pulp fiber costs decreased from Q4. In Germany, a steady supply of sawmill chips resulted in modest cost decreases. And in Canada, our ramp-up of Peace River's woodroom and our Celgar Wood strategy also pushed our fiber costs down in Q1. Looking ahead, we expect further modest declines in pulpwood costs at our mills in Q2, but we expect a slight increase towards sawlog costs due to strong demand. 
 I am pleased with our new lignin extraction pilot plant ramp-up and the partnerships we have entered into to support the future commercialization of this product. As a reminder, this new lignin plant is the large step towards Mercer being able to develop a portfolio of novel offerings before going commercial with it. We're excited about the future prospects of this product as a sustainable alternative to fossil fuel-based products, such as in adhesives and advanced battery elements, to name only a few. This aligns perfectly with our strategy, which involves expanding into green chemicals and products that are compatible with a circular carbon economy.
 As the world becomes more sensitive to reducing carbon emissions, we believe that products like lignin, mass timber, green energy, lumber and pulp, we play increasingly important roles in displacing carbon-intensive products, products like concrete and steel for construction or plastic for packaging. Furthermore, the potential demand for sustainable fossil fuel substitutes is very significant and has the potential to be transformative to the wood products industry.
 We remain committed to our 2030 carbon reduction targets and believe our products form part of the climate change solution. In fact, we believe that in the fullness of time, demand for our low carbon products will dramatically increase as the world looks for solutions to reduce its carbon emissions. We remain bullish on the long-term value of pulp and are committed to better balance our company through faster growth in our lumber and mass timber businesses.
 In closing, I am pleased that our pulp markets are recovering a little more quickly than expected and the fact that this improvement is giving us the confidence to increase our planned 2024 capital spend, which will allow the benefits from these key high-return projects to be realized even sooner. We also expect an improved result from our Solid Wood business in Q2. As a reminder, we have an unusually heavy schedule of major maintenance in Q2, which will be a drag on what we're expecting, will otherwise be a strong financial quarter. We will remain focused on our cost saving initiatives, and we will also continue to work on rebalancing our assets in line with the execution of our strategic plan, and we'll continue to manage our cash and liquidity prudently.
 Thanks for listening. And I will now return the call to the operator for questions. Thanks. 
Operator: [Operator Instructions] Our first question comes from the line of Hamir Patel with CIBC. 
Hamir Patel: Juan Carlos, one of your peers recently announced a large reduction of its pulp capacity in British Columbia. Just given your presence in the province, how much more pulp capacity do you think needs to come out of the region? And can you speak to how comfortable you are with the long-term capacity potentially at Celgar? 
Juan Bueno: Thank you, Hamir. Yes, this -- obviously, this is something that actually knows that we were expecting from some time. It is well known that the fiber supply in the province has been pretty tight and getting tighter and tighter as time goes by. So it comes as no surprise that, that announcement came up yesterday. Now one of the things that we've decided to do and I think that it puts us in a very favorable position in the case of Celgar in BC, so we're taking full advantage of the strategic location of the mill very close to the U.S. border. That has proven for us extremely beneficial. 
 Our cost of fiber have been coming down as we've started implementing that strategy. And that is basically allowing us to source chips from the U.S. at costs that are competitive as logistics have been arranged accordingly. And we're seeing more and more inflow from the U.S. into Celgar. We can easily think about Celgar going as much as between 30% to 50% of fiber sourced from the U.S. 
 So again, that takes the pressure off the mill from this very complicated situation that BC is going through. Regardless, and I have to say that the good news that region in particular, has not been impacted as much as other regions in Northern BC on reductions and access to fiber. So that also has helped Celgar in a good way. We have a very good source for fiber in the mill, and we expect this to continue that way. 
Hamir Patel: Great. And just last question I had was on the lumber side with respect to demand in Europe. Could you comment on what you're seeing there across the different end markets in terms of R&R, new res, industrial? And maybe where if anything stands out as inflecting on the R&R side? 
Juan Bueno: Yes. The European market has been very weak over the past -- I would say, over the past year. The situation in the European economy in general, in Germany, which is probably the one that we focus ourselves a lot more, is still not in a recovery mode. It's still very dormant. The only thing that we have seen recently that has built a little bit of momentum -- possible momentum, even in prices, has been the resurgence of the U.K. and Ireland market. So we've been able to get back into that market after being out of it for almost a year. 
 So Europe is still, I would say, very precarious and nothing that we expect any significant change most likely for the next couple of quarters. We'll see if there is some improvement in the economy indicators by the end of the year. And obviously, that would definitely push the construction industry in a better trajectory as it has been before or at least in a recovery mode. So yes, it's been very, very slow, Hamir, incredibly slow. 
 We have the advantage that since our mill is very competitive from a cost production point of view, we're able to serve the U.S. market very competitively. And obviously, we've taken advantage of that as much as we can. In the last year, we did exactly the same thing. Almost 50% of our sales went to the U.S. This year, it's been a bit lower than that, again, because U.K. and Ireland has showed good signs of recovery. But we always play that card and it gives us that confidence that if Europe is not giving us what we expect, then we can take advantage of the U.S. market. 
Operator: Our next question comes from the line of Sean Steuart with TD Cowen. 
Sean Steuart: A couple of questions. The discretionary projects at Torgau and Spokane, can you give us a sense of the return parameters you're looking at for that type of CapEx, I suppose, once markets normalize a little bit, how do you think about the returns for those types of projects? 
Juan Bueno: Absolutely, Sean. We have 2 important projects, as I was mentioning. The first one and both of them were envisioned when we acquired the mills. So if we talk first about Torgau. Torgau, as we acquired it, it has 4 saw lines, but it's not optimized in any way. It's an old mill, very big in size with a lot of capacity, but it's totally underutilized, and it was focused its production on pallet production to a large extent. And what we are doing right now with this investment is, we're freeing up capacity so that we can produce lumber in addition to what we're producing in Friesau. And that additional capacity that would put Torgau as not only as a pallet mill, but both lumber and pallets, bringing a little bit down the volume of pallets. But really, really, really increasing the volume that we can get for lumber. 
 So that's what we're planning for. The return on those projects is relatively short. We have those investments coming probably completed next year. So by the end of next year, we will already -- which we believe that lumber prices will be better by the end of next year than they are today. So when we said that we're doing all this investment during the cyclical low part of the -- or the low part of the cycle, we're preparing ourselves to be ready whenever the markets rebound. The return of those projects, both lumber or what we're doing in Spokane, when we do it, it's usually less than 3-year returns. So for us, those are high return projects in general terms. 
 In the case of Spokane, it's the same -- it's a similar situation. The mill, even though it's a brand-new mill when we acquired it, not because it's brand new means that it was designed ideally or in an optimal way. So there's a few things that we need to do, particularly on sorting lines. Later down the road, we'll do some improvements on the press capacity. And those things will drive costs down significantly for us. Again, same as in Torgau, those are 2- to 3-year payback projects when fully implemented. 
Sean Steuart: That's great detail. Second question is on pulp markets. Curious on your assessment of current momentum, sustainability into the second half of the year. How much of the recent surge do you attribute -- I suppose a lot of it is temporary supply constraints. But on the demand side, how much do you think is customer restocking versus real pull from paper demand improvement? 
Juan Bueno: Absolutely, Sean. Yes, what you said is absolutely true. Supply constraint is a huge driver of the surge that we've seen in pulp prices. There's no doubt about it, and it's still increasing. We just heard the announcement yesterday of yet another closure, another 300,000 tonnes that goes out of the market. So the elements to keep the pressure upwards around prices is there, is sustained, no doubt. And we do believe that we will see further price improvements along the second half of the year.
 Now when it comes to demand, it has been a lot better, but not as we would like, let's put it that way. So yes, European demand has improved. North American demand has improved. Chinese demand, not so much. We know that they're exporting quite a bit. So there's a balance on how much of that demand coming in from China goes elsewhere. But it is a fact that European -- especially European was so low just, I would say, 6 months ago or 9 months ago, demand was incredibly low, and we've seen a very big resurgence of demand. It's still -- I wouldn't say that is strong enough, as we like it, as we would prefer it to be, but it's obviously much, much healthier than it was before. 
 So all in all, I think the prospects are positive. The logistic constraints that we see, issues that we still see in the Middle East and the logistic constraints that, that causes. Now there's a potential issue of railway strikes in Canada. Obviously, those things just add noise and probably put more pressure on prices than anything else upwards. So again, we're bullish -- probably cautiously bullish on the price increases that we may see in the coming months. I don't think there is any sign of softwood giving way within these current market conditions. 
Operator: [Operator Instructions] Our next question comes from the line of Harman Dhatt with RBC Capital Markets. 
Harman Dhatt: This is Harman, on for Matt McKellar. I just had a quick question. You noted in the release that you've begun work on certain large-scale mass timber projects as of Q2. Are you able to provide a bit more detail more broadly on the kind of pickup we should expect in manufactured product sales or EBITDA in the next couple of quarters? 
Juan Bueno: Sure, Harman. To give you a sense of magnitude, we have 2 very large projects. And I wish I was at liberty to say the companies, I'm not allowed to say which companies they are. But we have 2 very large projects that are currently being produced at the mill. These projects will keep us busy for this quarter for sure. One of them is also going to be built up in the beginning of 2025. So we see the order book gaining good momentum and therefore, we see very positive results as a result of this.
 Now one of those projects had a delay, a minor delay for them, but a minor delay for them means that instead of becoming a Q1 production project, it became a Q2 production project. And as we're ramping up, obviously, when we have a major project that moves from one quarter to another, that creates a hole that we cannot fill up as we would like. So that's why our results in Q1 for mass timber were very short or almost at breakeven level. But in Q2, we expect mass timber to be much better in terms of profitability.
 Our sales for the year, we expect them to be almost twice as much as we had last year. So last year, our sales were around $60 million. We're estimating that for 2024, we should be around $100 million to $120 million, give or take, with further sustained levels in 2025. One of the things that we're seeing in this market, which is not different from many things that we see in lumber spaces, with the interest rates being as still at a very high level, what we're seeing is that, yes, there is more demand for more interest in projects to be built on mass timber. So there's a lot of tailwind on interest from developers, architects on mass timber. Many more designs and many more quotations that we're putting out and projects that are being designed for mass timber than previously before. 
 But what is happening is that there is a lot more that are being put on hold until the financing gets better for those developers. So what we expect is, maybe in 2025, we won't see as much increase as we would otherwise have thought there would be until there's a start to see a reduction in interest. And then what we will see is all of this amount of projects that are being repressed, that are being put on hold, plus the ones that were being -- that were coming up as new, that's going to come in a big wave. So we do expect a very, very strong growth of this business, whether it's in late '25 or '26, depending on how interest rates behave. And obviously, we will take advantage of it.
 When we look at maturity from our business, we're looking at a business that should be north of 20% EBITDA when it comes to when we are at maturity level and running at least 2 shifts on our facilities. So that's the forecast that we have. And we're very, very eager to keep on investing in these assets, make sure that all 3 of them, the Canadian one and the ones -- the 2 that we have in the U.S. are very cost competitive. 
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to Juan Carlos Bueno for closing remarks. 
Juan Bueno: Thank you, Liz. And thanks to all of you for joining our call. Rich and I are available to talk more at any time, so don't hesitate to call either one of us. Otherwise, we look forward to speaking to you again on our next earnings call in August. Bye for now. 
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.